Operator: Good morning. My name is Christina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Aecon Q1 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Adam Borgatti, SVP of Corporate Development and Investor Relations, you may begin the conference.
Adam Borgatti: Thank you, Christina. Good morning, everyone, and thanks for participating in our first quarter 2019 results conference call. This is Adam Borgatti speaking. Presenting to you this morning are Jean-Louis Servranckx, President and CEO; and David Smales, Executive Vice President and CFO. Our earnings announcement was released yesterday evening, and we have posted a slide presentation on the Investing section of our Web site, which we will refer to during this call. Following our comments, we will be glad to take your questions from analysts. As noted on slide two of the presentation, listeners are reminded that the information we are sharing with you today includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties. Although Aecon believes that the expectations reflected in these statements are reasonable, we can give no assurance that these expectations will prove to be correct. With that, I will now turn the call over to David.
David Smales: Thank you, Adam, and good morning everyone. I'll touch briefly on Aecon's consolidated results and then review results by segment before turning the call over to Jean-Louis. Turning to slide three of the presentation commencing in 2019, Aecon's infrastructure and industrial segments will combined into a construction segment to align with Aecon’s new operating management structure. This was driven primarily by the progress Aecon has made in recent years with respect to the “One Aecon” strategy, which has increasingly allowed for integrated project management and systems, allowing Aecon to capitalize on those markets providing the greatest opportunity any point in time. Turning to slide four; revenue for the three months ended March 31, 2019, $650 million with $107 million or 20% higher compared to the same period in 2018 with increases in each segment. Revenue was 35% higher on a like-for-like basis, excluding the contract mining business sold in November, 2018. Slide five outlines the adjustments to reflect the impact of the sales of the contract mining business. Adjusted EBITDA for the first quarter of 2019 of $11.9 million, a margin of 1.8% increased compared to adjusted EBITDA of $3.7 million, a margin of 0.7% for the first quarter of 2018, and grew significantly versus adjusted EBITDA of negative $9.2 million and negative margin of 1.9% on a like-for-like basis in the prior year. Likewise the first quarter operating loss of $10.8 million and diluted loss per share of $0.16 both showed considerable improvement compared to the same period in the prior year on the back of higher volume and improved margins. Reported backlog as of March 31, 2019 is $6.7 billion compared to backlog of $4.6 billion a year earlier, representing an increase of 46%. Now turning to results by segment, as noted on slide six, construction revenue of $638 million in the first quarter was $108 million or 20% higher than the same period last year. Increase was driven by higher revenue in civil infrastructure in both Eastern and Western Canada, as well as from urban transportation systems and nuclear power infrastructure in Eastern Canada. These increases were partially offset by lower volume in utilities as well as conventional industrial operations following the sale of the contract mining business in November 2018. Adjusted EBITDA in the construction segment is $7.3 million; a margin of 1.1% was up by $1.5 million compared to $5.8 million, a margin of 1.1% in the first quarter of 2018, despite the sale of the contract mining business which contributed $12.9 million of EBITDA in the same period last year. Significant improvement in EBITDA from the balance of the construction segment in the first quarter of 2019 was due to a combination of higher volume and improved gross margin. New contract awards of $561 million in the first quarter of 2019 were $336 million lower than the same period last year. Construction backlog at the end of the first quarter was $6.7 billion which is $2.1 billion higher than the same time in 2018. The largest period-over-period increase in backlog occurred civil infrastructure and urban transportation systems driven primarily by large project awards during 2018 including the REM Montreal LRT, the Finch West LRT, and the Gordie Howe International Bridge projects. Turning to slide seven, concession revenue for the first three months of 2019 was $58 million, an increase of $27 million or 85% compared to the same period last year. This higher revenue is primarily a result of the Bermuda International Airport Redevelopment Project including the impact of increased construction activity related to the new airport terminal. Adjusted EBITDA in the concession segment of $14.8 million, a margin of 25.5% was up by $4.9 million compared to $9.9 million, a margin of 31.6% in the same period last year. The increase was primarily due to increased contribution from management and development fees for Canadian concessions secured during 2018. At this point, I’ll turn the call over to Jean-Louis.
Jean-Louis Servranckx: Thanks, David. Let’s go to slide eight, as David mentioned earlier our backlog at the end of the first quarter was $6.7 billion. Backlog to be worked off in the next 12 months of $2.3 billion, increase 50% over the one last year and you can note approximately two-third of this backlog is for work of beyond the next 12 months, providing a significant visibility and stability for Aecon long-term outlook. Aecon’s annual recurring revenue which grew by 3% on a like-for-like basis over last year was driven primarily by utility work in telecommunications, gas and hydro distribution, as well as operation at the Bermuda airport. We do remain extremely focused on the strong execution of our backlog, while ensuring we continue to build capacity and flexibility for future growth. If we go to slide nine and 10, Aecon’s balance sheet, financial capacity and cash generation remain key advantages in our ability to grow and take advantage of the significant level of accepted infrastructure investment in Canada in the coming years, as well as to pursue select international property projects. Now turning to our outlook on slide 11, Aecon continue to see significant infrastructure investment commitment by all level of government across Canada as well as by the private sector. This investment focuses primarily on civil infrastructure, urban transportation system, nuclear power, utility and pipeline infrastructure which perfectly align with Aecon’s core strength. Aecon’s strong program of work underpinned by backlog as well as robust pipeline of new opportunities support an expectation of like-for-like revenue and EBITDA growth in 2019 offset to some extend by the sale of the contract mining business in November 2018. In our construction segment bidding activities expected to be solid in 2019, although new awards are not likely to match the record level of new awards achieved in 2018. With strong backlog in hand the focus has shifted to ensuring strong execution and selectively adding backlogs with disciplined bidding approach that support continued like-for-like margin improvement in the segment. In the concession segment, it continues to partner with Aecon’s construction segment to focus on the significant number of P3 opportunities in Canada and on the selected basis internationally. The overall outlook for 2019 remain solid as our current strong backlog, robust pipeline of future opportunities and ongoing concessions are expected to lead to another year of improved like-for-like results compared to 2018. Thank you. And we will now turn the call over to analyst for questions.
Operator: [Operator Instructions] Your first question comes from Yuri Lynk from Canaccord Genuity. Your line is open. Please go ahead.
Yuri Lynk: Good morning, guys.
Jean-Louis Servranckx: Good morning.
Yuri Lynk: I just wanted make sure I understood the outlook section. Just got me a little confused, so you're – it’s calling for a like-for-like revenue and EBITDA growth partially offset by the sale of the contract mining business. I’m not sure how to interpret that. Can you just clarify if that means you're expecting to exceed the $207 million in adjusted EBITDA generated last year?
David Smales: So without going overly granular, Yuri, I think what we’re saying is, forget contract mining, we expect growth from the balance of the business in both revenue and interested EBITDA in 2019. Obviously, when – in the fact we had contract mining in 2018 and we don’t in 2019; that will offset some of that growth. But I’m not going to land on a specific number, but when we say partially offset then I think you can read into that. Yes, we don’t expect to more than offset the impact to the exclusion of contract mining.
Yuri Lynk: Okay. But the like-for-like would – isn’t that referring to comparing 2019 with 2018 excluding the contract mining for 2018?
David Smales: Correct. And we expect that to be both in terms of revenue adjusted EBITDA.
Yuri Lynk: Okay. And then just looking out to the balance of the year, I just would like some help on how to think about the third quarter. Obviously, it was a very tough comp last year, $89 million and that’s where the consensus is for this year. But I think that would have had $7 million of contract mining and then you had a bunch of Line 3 work which was pretty quick book and burn. So I just want to make sure I’m understanding that correctly. And just maybe flag any offsets that might make it to not such a tough comp. But at this point it looks like that will be a difficult to achieve again in Q3?
David Smales: Well, I’ll remind you that in that number you’re calling for 2018 Q3 of 89 [ph]. We had about $7 million of EBITDA from contract mining that won’t there. So you’re talking on a year-over-year basis comparable number of 82. Q3 is always strongest quarter. Don't expect that to be any different this year. There is some moderation in seasonality, but it’s quite slight, you see that in our Q1 numbers. But we still expect Q3 to be the strongest quarter, and again I’m not going to say where we’re going to be relative to 82. But Q3 will represent a very strong quarter for us based on the profile of the work that we have going on this year and the level of revenue we expect from major projects.
Yuri Lynk: No, no, absolutely, but I guess, is it true that the Line 3 work I think it was like a 130 million and 140 million that was basically booked and burned in Q3. And I'm thinking about that correctly right as a headwind?
David Smales: Yes. That was in Q3. I mean, every year we have projects ramping down. As you can see from our commentary around revenue overall, as well as backlog, we have more enough work to offset what we’re viewing at Line 3 last year. So that was just one of many projects. So I wouldn’t read too much in to the fact that one project that we had in Q3, last year isn’t in Q3 this year. If you look at backlog breakdown and work up in the next 12 months that’s up significantly where it was this time a year ago, so, yes, this one project that won't be there, but there’ll be many other new projects that will be there.
Yuri Lynk: Okay. That’s very helpful. I’ll hop back in the queue. Thanks guys.
Operator: Your next question comes from Jacob Bout from CIBC. Your line is open. Please go ahead.
Jacob Bout: Good morning. Wanted to start off with the question on the margins of the construction group. From our math on an apples-to-apples basis, there was – there’s an uptake of almost 2.5%. Just talk about what was driving that? And is that normally or is that kind of normal course on a go forward basis?
David Smales: I’ll be predictable by saying that – we say this every quarter, but no one quarter in isolation should drive your margins expectations. But for the following quarter we talk about looking over kind of 12-month window. That particularly applies in Q1 just given the relative size of the numbers and the ability for one or two things to drive that margin up or down in particular quarter when your volumes not as high as later in the year. So I think it’s reflective of the fact that we have strong backlog with good margin profile in that construction business, but when we talk about progression in margin on kind of 12-month basis, we’re talking about modest gradual improvement over time. We’re not talking about Q1 representing a step change that you should be assuming for the balance of the year.
Jacob Bout: On an apples-to-apples basis comparing it year-on-year what drove that uptake?
David Smales: Well, higher revenue clearly is the biggest driver of that. When you go a quarter, they typically fairly low in volume and fairly large proportion of fixed cost which over the year is offset by higher revenue later, if you have some higher revenue in Q1 then there’s quite operating leverage there to that fixed cost base, plus we’ve said the new major projects have a better margin profile and there’s more those in the mix in Q1. So it’s a combination of things. But I would say operating leverage based on higher volume is a big component of that.
Jacob Bout: Okay. Couple of projects that you have missed out on, the Ottawa stage II and the Pattullo project. Maybe talk a bit about what’s happened and are things getting a little more competitive in that space?
Jean-Louis Servranckx : Okay. I don't think it’s getting more competitive. I would just say we adjusted quite Gordie Howe, which is an extremely important bridge and that the fact not to be on Pattullo is not of real relevance. I mean, it’s not a big deal for us.
Jacob Bout: Okay. I’ll leave it there. Thank you.
Operator: Your next question comes from Derek Spronck from RBC. Your line is open. Please go ahead.
Derek Spronck: Good morning. Thank you for taking my questions. Just in terms of ramping up your project work, any changes in terms of the equipment availability, labor availability? And how should we be thinking about working capital here for the next three [ph] quarters? Thank you.
Jean-Louis Servranckx : Okay. I'm extremely happy with the ramping up of our major projects. If we can take it through example – for example, REM in Montreal, remind you it’s a 5 billion job that has to be complete in March 2024. We had a very good preparation during the winter regarding utilities, regarding engineering, and preparatory works. And we will have a very strong, I would say spring and summer season on REM. And Site C is in the same condition. Remind you that Site C is a job with BCI Hydro, 700,000 cubic meter of concrete. We finalized during the winter season, 25,000 and now we are just ramping up extremely quickly for example last week we brought 2,500,000 cubic meter only during one week, means that all those projects are going well and schedule and budget. In term of equipment, not that much of a problem, everything has been forecasted and we are perfectly on line with our forecast.
Derek Spronck: And how should we think about working capital?
David Smales: Yes. I was going to come back to that. So, for working capital perspective obviously over the course of year it’s driven by our usual seasonality where we tend to use cash through Q2 and Q3 and then see an inflow in Q4 and typically in Q1 depending on what's going on in any particular quarter as the normal profile, I don't see that being any different issue. I think overall for the year I think working capital will be a modest net positive for cash, not dissimilar to 2018 in terms of profile of working capital for the full-year on a seasonal basis.
Derek Spronck: Okay. That’s great. In terms of any projects that you’re currently working on, are there any projects that you’re losing sleep on? I saw there was a $60 million increase in unbilled revenue. I don’t know if they’re just regular seasonality or project timing related. Any color there would be helpful. Thank you.
David Smales: So, in terms of unbilled, I mean, that’s just reflection of on these large major civil projects. There are significant milestone payments at various times, so as opposed to being paid kind of monthly or every two weeks, you basically get big milestone payments at certain points in time which can lead to build-up the unbilled until you reach in phases, but it’s nothing other than the normal cycle of working capital.
Derek Spronck: Okay. And any projects that you’re currently working on that might be coming up to completion that you're worried about? Or are you fairly comfortable with the project profile of your existing projects right now?
Jean-Louis Servranckx : So far we don’t expect this sort of problem. I mean we are extremely focused and disciplined regarding the execution of our backlog. I’m putting a lot of pressure on all my team on the quality of the preparation of the works, of the quantity of the engineering, of the integration of the engineering with works, of the quality of the execution, on the schedule ability on our project control and I can just say that so far all our projects are on track.
Derek Spronck: Okay, great. And just one more for myself and I'll pass it over. There was a pickup of finance lease debt due to IFRS and only just a modest increase in EBITDA. I think you indicated $1.7 million in EBITDA due to the IFRS change. That seems a little bit low relative to the amount of finance debt that was added because of the accounting change. Should we assume that $1.7 million EBITDA add back due to the accounting change is reflective of each quarter going forward? Or how should we think about that?
David Smales: That’s the right way to think about it.
Derek Spronck: Okay. Fair enough. Thanks David. Okay. Thank you. That's all my questions.
Operator: Your next question comes from Chris Murray from AltaCorp Capital. Your line is open. Please go ahead.
Chris Murray: Thanks folks. Good morning. Just if you can, I'm just kind of curious about some of the restatements in your segmented note. What I'm trying to understand a little bit better is the eliminations between construction and concessions. So is it fair to think now that what we're seeing in the other eliminations bucket is really the construction work being done primarily for the Bermuda Airport?
Jean-Louis Servranckx: Yes.
Chris Murray: So that's what we see. And so we're now able to see a cleaner, more direct number in that. Okay. So the question I got is in the quarter you talked about $43 million in construction revenue, but another $2.5 million in revenue intersegment. Is that -- where is that other $2.5 million coming from?
David Smales: I’m not sure. No way that number – what number you’re referring to that, Chris, but the vast majority of it as I said, is revenue between construction and concessions relating to Bermuda. There's obviously a few other things going through on a concession side where we have construction ongoing, but any delta is given by Bermuda primarily.
Chris Murray: Okay. And then just so I'm making sure that I understand this correctly. The rest of the majority of what we're seeing in the concession segment in reported is tied to Bermuda. And then the other projects you've got things like Waterloo and Eglinton, they're all coming through as the equity pickup, correct?
David Smales: Correct. It's also reflected in the operating profit for concessions, but when you look at consolidated P&L as opposed to a segment breakout, yes, the Canadian concessions are primarily on the income from equity-accounted projects.
Chris Murray: Yes. Just -- I mean David, I guess where I'm getting at is as the concessions business comes it gets bigger, we're having to start the value, but the concessions business separately from the construction business. So, we're just trying to make -- I'm just trying to make sure I understand how you guys have changed that in the re-segmenting, so, just where that one goes? Along those lines just thinking about Bermuda, we still have I guess construction going through the middle of 2020. Any thoughts around additional P3s and P3 opportunities that you guys are seeing right now? And how we should think about – how any of the growth in that equity pile or that equity method there or gained over the next few years is going to change independent of Bermuda?
Jean-Louis Servranckx: Sorry, Chris, you mean the equity-accounted investments is likely to more…
Chris Murray: Yes. So I’m thinking about Canadian concessions?
Jean-Louis Servranckx: To the extent we will involve Canadian concessions where we’re not in control with joint venture partners then yes, that is likely. We continue to bid a pretty healthy pipeline of P3 opportunities. So if we secure more then yes they will likely be based on this structure of those P3s equity-accounted projects.
Chris Murray: Okay. But I guess what I'm also trying to understand to is, I mean, you recorded $3 million in equity pickup in the quarter. Is that a good run right to be thinking that you're at right now and really what's the growth rate in that as you continue to progress through the construction maybe over the next year or two?
David Smales: Yes. I think it’s likely to be increasing based on our normal seasonality. So for example in Q1 some of the works that we will be doing as a peak of this season on some of these projects will be increased. But it's not -- most of it comes from the concession side where it's really management fees tied to construction in terms of timing and recognition of those. So there is some seasonality to it, but it's not huge, but Q1 would be on the low side for that contribution.
Chris Murray: Okay. All right. We'll try to figure it out as we try to -- back into a construction summer. Just going back to your comment on the outlook around like-for-like, I mean, the way you've characterized it there was like-for-like growth, but then we started I think further to Yuri's question you started talking about sort of absolute dollars on like-for-like basis. Just trying to maybe can you just go through this one more time because it's a little fuzzy on -- are you talking about like the growth rate 2017 versus 2018 into 2018 to 2019 ex mining? Or is it just the absolute numbers on the underlying construction business offsetting mining and you end up kind of in the same place for 2019 as you were, it's just a little fuzzy?
David Smales: Chris, I don’t think we’ve ever talked about being related to growth rates. We’re talking about absolute dollars growth 2019 versus 2018, if you exclude contract mining, which contributed over $200 million of revenue in 2018. obviously that growth – that growth will be offset to some extent by the fact that 200 plus of revenue won't be there in 2019.
Chris Murray: Okay. That's helpful. Thank you.
Operator: [Operator Instructions]. Your next question comes from Michael Tupholme from TD Securities. Your line is open. Please go ahead.
Michael Tupholme: Thanks. Good morning. I was wondering if you can comment on Aecon’s outlook for future potential infrastructure work in Ontario in particular and possibly provide any thoughts on the recent Ontario provincial budget?
Jean-Louis Servranckx: Okay. I would say simply it is a moment for Aecon. When we just read, I mean, what the Ontario government has produced during the last two weeks just in terms of major project I mean Scarborough line, North Yonge extension, Eglinton West, Ontario line, I mean all those kind of job are our specialty, I mean, they are our pieces of cakes and we are perfectly ready to catch them, so it's a very good news.
Michael Tupholme: And some of these projects, Jean-Louis, are obviously quite large in size and there's considerable lead time until from the time that the projects would be awarded. But would you possibly envision any awards in the province of these kinds of projects during 2019?
Jean-Louis Servranckx: Okay. I just remind you that our backlog is almost $7 billion. The job we have in our backlog, I mean, just take a few days. REM is that to be finalize in 2024, Gordie end of 2024, Finch 2023. It means that this is a long time from now. So we are not that much worried about the lead time of the new project. I would say it's even good for us. And of course on all those projects I’ve been talking about a few minutes ago there will not be any award in 2019. Generally speaking we had explained I mean during the last month of 2019 most probably going to be a bidding year that an award year and it's good for us. I mean it just give us all the time to deploy our capacities on our new backlog and there are people working on the bidding. I just give an example during the last few days we just submitted two big PQ, one in Edmonton, Edmonton Valley Line, and one in Vancouver as a millennium line. So, and we are not worried about the pace of the works coming.
Michael Tupholme: Okay. That's helpful. Thank you. Separate question, the last several quarters, you've talked in your outlook about some improvements in commodity prices and in particular oil, but not yet to levels that would incite clients to move necessarily forward with projects. Just wondering we have seen oil rally pretty strongly through the first part of the year here albeit off of low levels at the end of last year. But wondering if you can just update us on what you're hearing from some of your clients in the energy sector in particular but also possibly the commodity sector more broadly?
Jean-Louis Servranckx: Okay. We mainly see it in our industrial operating sector. It is true that the oil prices have been on the upside for the last months and we can see in our potential industrial clients that are gaining more traction on new plants for derivative of oil which is good for us.
Michael Tupholme: Okay. Perfect. And then just anything outside of oil specifically in terms of other resource areas such as mining?
David Smales: I'd say nothing substantial at this point, Mike. I think we've talked a number of times in the past about optics and engineering activity and then things slowed down again. And I would say at this stage there's nothing concrete that suggests that's going to be a significant opportunity in the near term. I think we'll have to see how our prices hold up over a longer period and whether that stimulates people actually making investment decisions, but at this stage nothing concrete.
Michael Tupholme: Okay. And then just lastly, Dave, its look like the tax rate in the first quarter was a little bit higher than I expected. Can you just talk about what you expect the effective tax rate for the year to look like?
David Smales: Yes. I don't expect it on a full-year basis to be significantly different to 2018. I mean it depends a little bit, the things that drive kind of mix of earnings and where they come from which provinces, Bermuda or et cetera, but overall over the course of the year, no, I don't expect any big shift in the tax rate.
Michael Tupholme: Okay. All right. That's all I had. Thank you.
Operator: Your next question comes from Frederic Bastien from Raymond James. Your line is open. Please go ahead.
Frederic Bastien: Good morning, guys. I was wondering if you could talk about how Bermuda is actually going both in terms of the construction and the operation of the existing airport traffic-wise and such things like that?
Jean-Louis Servranckx: Okay. I was first answer on the construction side, it's going quite well. We are all targeting a substantial completion for mid 2020. I don't see any problem with this project from the construction side.
David Smales: Yes. From an operations perspective going well, continues to go well. In terms of passenger numbers they continue to be strong and are growing and we expect continued good performance from that operation.
Frederic Bastien: Is the traffic that the airport experiencing better than what you under wrote your contract at?
Jean-Louis Servranckx: Yes. I mean if you – I mean, there’s obviously a financial model that drives the financing and everything else and that its built on pretty conservative forecasts, and early days into a 30-year concession obviously, but yes so far so good in terms of passenger growth today is exceeded what was building to that financial model.
Frederic Bastien: Good to hear.
Jean-Louis Servranckx: I don’t think that’s particular unusual. These finance models are usually pretty conservative. So we went into it expecting that and it’s delivered along those lines so far.
Frederic Bastien: Okay. And then obviously over the past several years you’ve been investing in some P3 concessions internationally. Are there any other ones that you’re looking at right now potentially looking at investing and contributing to the construction?
Jean-Louis Servranckx: No, at the moment no on a short-term basis, but of course, I mean trying to find another project like the Bermuda one is extremely important for us. So we have put some business development forces from the last months on the goal and we are ready to expand internationally on everything that we do well at home.
Frederic Bastien: Thank you very much.
Operator: Our next question comes from Maxim Sytchev from National Bank Financial. Your line is open. Please go ahead.
Maxim Sytchev: Hi, good morning.
David Smales: Good morning, Max.
Maxim Sytchev: David, just you know, I'm not trying to belabor the guidance thing, but correct me if I'm wrong, but in 2018 you also had a number of unusuals that were part of the EBITDA. So what clean EBITDA sort of like-for-like that you are using for 2018 that you're building your expectations off for 2019?
David Smales: Yes. I think in 2018 Max, still in the contract mining adjustment you basically had in the first quarter of last year a couple million dollars at one time costs related to wrap-up of the sale process and some severance, but outside of that I don't think there's anything else in Q2, three or four. So it's a very minor impact year-over-year.
Maxim Sytchev: Okay. So, we're talking about like 190 million-ish clean EBITDA for 2018, correct?
David Smales: You mean excluding contract mining?
Maxim Sytchev: Correct.
David Smales: Yes. I mean, that would be a little lower than that Max, you see we reported $206 million of EBITDA last year, $207 and contract mining was around $30 million of that.
Jean-Louis Servranckx: 21.
David Smales: 21 of this, so 180, 185-ish.
Maxim Sytchev: Okay. So, again what you’re suggesting that excluding the change, sorry, excluding the mining then doesn't mean that you're not going to be able to match the absolute number that you generated in 2018 with the mining?
Jean-Louis Servranckx: You look at – what we’ve said, the like-for-like growth will be partially offset by the impact of no longer having contract mining, which indicates we expect fully offset the like-for-like growth.
Maxim Sytchev: Okay. So -- okay, a positive delta, okay. And then in terms of Q1 I know you didn't call it out at all, but was there any negative weather impact at all in Q1?
Jean-Louis Servranckx: I mean nothing abnormal. I would say I mean Q1 is winter and so we have climate impact of course. I just remind you that for example on Edgington we are still on civil works, what will not be the case in 2020. We will be inside, I mean, inside the ground with [Indiscernible], but there is nothing abnormal in Q1 in terms of climate.
Maxim Sytchev: Okay. That's helpful. And actually and Jean-Louis, and I guess question to you and to David as well. I mean given the share price volatility that we've seen over the last let's call it a month for I would say no specific reason. Any incremental thoughts on having a share buyback program as a backstop to deal with that type of volatility, any thoughts there?
David Smales: So, we've talked about in previous quarters, in fact that we look at that on a fairly regular basis. At this stage there is no plan to announce a normal course issue a bit, but we'll continue to monitor where things go from here and keep that -- the forefront of our minds in terms of a potential opportunity depending on how things evolve, but no announcement on that.
Maxim Sytchev: All right. But I mean it's still something that obviously you consider.
David Smales: Sure.
Maxim Sytchev: Okay. All right. Thank you very much. That's it from me.
Operator: Your next question comes from Derek Spronck from RBC. Your line is open. Please go ahead.
Derek Spronck: Yes. Thank you. I just have a quick follow-up on -- in the fourth quarter in your outlook you indicated adjusted EBITDA margin improvement and that commentary wasn't included in this quarter’s outlook. Any changed there?
David Smales: No change to our outlook for 2019.
Derek Spronck: Okay. Thank you.
Operator: And your last question comes from Benoit Poirier from Desjardins Capital. Your line is open. Please go ahead.
Benoit Poirier: Good morning gentlemen. To come back on Bermuda I was wondering if you could provide some color about where you are or the timing around maximizing the value for these assets. I understand that you're finishing construction. This traffic is also very good. But I was wondering where do you think there could be a potential opportunity to potentially divest partially or fully the asset and recycle that money into other concession opportunities?
Jean-Louis Servranckx: Okay. As we have already said all options are open. I mean we own 100% of the Bermudian project. We still have to finalize the work and then to transfer from the old airport to the new airport, what will be done there mid 2020. And at this moment we will consider what our option and what could be the best one. We have not taken decision at the moment about an eventual divestiture, partial divestiture or not at all.
Benoit Poirier: Okay. That’s very good color. And obviously when we look at the Canadian opportunities it’s still very, very robust, so you have a big backlog that will be deliver over the next few years. You’ve been talking that eventually you would look at the U.S. strategy. I understood it’s not a rush, but any update on the plan or how long do you still have to time to take a look at the potential entry into the U.S. market?
Jean-Louis Servranckx: Okay. As you can in the pipeline for Canada, I mean there is still a lot of projects on the table and I would say every quarter new projects are raising. It means that we have no rush. When we look at U.S. as a potential opportunity for our future growth, but we have no rush, I mean, of course we are working on it, but we have not setup neither a date or a size, I mean we just wanted to be sure to be able to save the best opportunity what is going to be ready in front of us.
Benoit Poirier: Okay. That’s it from me. Thank you very much for the time.
Operator: There are no further questions at this time. I’ll turn the call back over to the presenters.
Jean-Louis Servranckx: Very good. Thanks Christina and thank you all for joining our call today. Have a great rest of the day and always, if you do have any question feel free to call up. Thanks.
Operator: This concludes today’s conference call. You may now disconnect.